Operator: Thank you for standing by, and welcome to the Woolworths Group FY '26 Half Year Earnings Announcement. [Operator Instructions] I would now like to hand the conference over to Amanda Bardwell, Managing Director and CEO of Woolworths Group. Please go ahead.
Amanda Bardwell: Good morning, everyone. Thank you for joining us today for Woolworths Group's half year results for the 2026 financial year. I'd like to acknowledge the traditional custodians of the land on which we meet today, Dharug Country and pay my respects to Elders past and present. Joining me this morning are Stephen Harrison, our Chief Financial Officer; Annette Karantoni, Managing Director of Woolworths Retail; Amitabh Mall, Managing Director of Group eComX; Sally Copland, Managing Director of Woolworths New Zealand and Dan Hake, Managing Director of BIG W. I will start with an overview of the group's performance in the first half and then provide an update on our medium-term strategic priorities. Steve will then cover our financial performance before I conclude with an update on current trading and the outlook for H2. Turning to Slide 4. We took deliberate action to rebuild customer momentum during the half through investment in the areas that matter most to our customers, including value, fresh and convenience. We are seeing greater stability across the group following key leadership changes and structure changes that are better aligned to our priorities and our execution in the half has progressively improved. However, we know we have more to do to deliver the best experiences for our customers. Turning to our financial performance for the half. Group sales in H1 increased 3.4% with all businesses growing sales on the prior year. Group EBIT, excluding significant items, increased 14.4% with solid EBIT growth from all of our reporting segments, supported by CODB reductions. Excluding the impact of industrial action in Australian Food in the prior year and supply chain transition costs, group EBIT would have increased by 7.9%. In August, we spoke about taking action to reposition the group for long-term sustainable growth, and we laid out our strategic priorities. While the key focus in the half has been on rebuilding momentum in the short term, we have clear strategic agenda and have made good progress on these priorities. We also said that we expected to deliver mid- to high single-digit reported EBIT growth in Australian Food for the year and an improved result in New Zealand Food and BIG W. We remain on track to deliver this in F '26. Turning to Slide 5. Customers remain value focused. We have seen value-seeking behaviors continue in an increasingly competitive retail environment. Broader cost of living pressures continue to weigh heavily on our customers' household budgets. Price remains the top priority for Australian customers when choosing where to shop with quality and freshness and range also critical. After signs of tentative improvement in customer sentiment towards the end of last year, persistent inflation and the prospects of interest rate rises have seen customers again prioritizing ways to save. They are telling us that compared to last quarter and a year ago, they are buying more products on special comparing prices across supermarkets and cooking more at home. Turning to Slide 6. We're clear in quarter 1 that the sales momentum in Australian Food was below our aspirations. And in response, we invested to improve our offer in value, fresh, availability and convenience. We upweighted our rewards and eCommerce offers as well as increased weekly promotions on key family lines like bananas, nappies and chicken breasts, to provide customers with more value and more reasons to choose Woolworths first. We also added more than 350 new products to our lower shelf price program with over 800 products now part of the range. We know that fresh is the gateway to the supermarket shop, and we invested more team hours across key fresh categories to ensure the best offer was consistently onshore and to improve freshness and the customer experience. We also remained focused on improving our retail execution. We held more stock weight on key promotional lines to improve availability for customers and increase the number of store deliveries over the weekends, helping to support an improvement in out-of-stocks voice of customer, which is up 10 points compared to the prior year. In December, we unlocked $1 million more online and delivery pickup slots to provide our customers with even more flexibility and convenience in the lead up to Christmas. We also provided highly competitive offers to new customers. Turning to Slide 7. The actions that we've taken have seen improved momentum in quarter 2 relative to Q1, with a stabilization in market share. Excluding the impact of industrial action in tobacco, Woolworths Food retail sales increased 4.7% in Q2, driven primarily by item growth, and we have seen this momentum continue into H2. Woolworths Food Retail VOC NPS ended up 10 points compared to the prior year, showing a strong recovery from the impacts of industrial action in the year. In addition to out-of-stocks, which I've mentioned, values the money scores have also improved consistently over the last 12 months, up 8 points on the prior year. Turning to Slide 8. We're also transforming our digital experience to deliver the best shopping experiences for our customers. The number of customers using our digital tools to improve their shopping experience is increasing, whether this is to make the shopping experience more seamless, get the best value or track their spending. We already have over 1 million customers using digital lists to shop each week in store and online. During the half, we launched Snap & Shop, which converts handwritten shopping list into digital list. It uses AI technology to match the items to the product the customer has bought before. I'm also delighted that Olive our much-loved digital shopping assistance is set to take a major step forward over the coming months through our extended partnership with Google. As part of this, Olive will transform into a market-leading conversational shopping companion, moving beyond the search and Q&A tool. Through agentic AI, Olive will bring together the shopping journey for customers, making the weekly shop easier in-store and online. Olive will be able to tailor menus based on customer preferences, identify specials and boost products as well as build faster, more predictive baskets. Customers can interact with Olive in different ways like sharing a photo of a handwritten recipe or using voice to build your shopping list. Turning to Slide 9. As convenience continues to increase in importance for our customers. Our large store network and leading eCommerce business remains a key differentiator. A modern, well-located store network is critical to maintaining our lead in an increasingly competitive space. During the half, we continued to invest in our store network to provide the best experience for our customers looking to shop in store, pick up via Direct to Boot or order a Woolworths on-demand or MILKRUN rapid delivery. Direct to Boot is now available in around 70% of our stores in under 2 hours and has rolled out to a further 60 stores in the half and MILKRUN to a further 135 stores. We also finalized a new partnership with DoorDash, which will be rolled out in H2. On-demand options are our fastest-growing propositions as customers seek more convenience with under 2-hour eCommerce sales growing at a compound rate of over 80% over the last 2 years. Moving to the next slide. While our primary focus has been on rebuilding momentum in the short term, we have also continued to progress our longer-term strategic priorities. We know we have world-class assets across the group, which give us a unique enduring competitive advantage and significant potential. If we deliver our strategic potential, I have great confidence in our ability to deliver long-term sustainable growth for shareholders. By delivering sustainable growth in Woolworths retail, ongoing improvements in New Zealand Food and BIG W, supplemented by higher growth from our complementary businesses and services. Our ambition is to deliver mid- to high single-digit EBIT growth over the medium term, supporting our double-digit total shareholder return aspiration. Turning to our first strategic priority in Australian Food. Our ambition is to be the first choice for customers in our cornerstone food business. Food is what we're famous for and a thriving food business provides a strong platform for the group's long-term success. We're making meaningful shifts for our customers to put us first and we're determined to win in fresh, convenience and range while delivering meaningful value and executing consistently well. We've made good progress during the half, but there is more to do, and this work will continue in H2. I will call out a few highlights from the half across 5 key areas. The fresh food people promise means delivering the best quality and fresh varieties for our customers. During the half, we progressed our strategic sourcing program to increase our direct supply of Fruit & Vegetables from our best quality producers with a review complete for around half of our Fruit & Vegetable sales volume. We know we need to improve our range and value across our Everyday Needs categories like pets and baby and we have been slower than we should have been to respond to this Heightened competitive environment. In response, we've already taken action to address range and pricing gaps as well as enhanced promotional activity to provide more value to customers. We are relaunching our Little Ones, nappies and wipes in baby. And in Pets, we've refreshed our own brand pet food ranges, including Baxter's, Smitten and Petstock's owned Billie's Bowl, which will be rolled out to stores. We have progressed our long-term strategy refresh in these categories with more to come in H2, and we remain committed to improving performance across our broader Everyday Needs category. I have already spoken about our progress in expanding our eCommerce network and increasing our capacity to meet customers' demand. However, we've also made good progress on eCommerce productivity agenda, helping to deliver a 93% increase in eComX directly attributable profit. These initiatives include team picking algorithms and the rollout of improved temperature zones in vehicles with the increase in profitability also supported by mix benefits from strong growth in higher-margin on-demand propositions. Value remains critical for customers, and we remain committed to lower prices for customers and restoring a more balanced net of everyday low prices and specials. We also rewarded our customers' loyalty by providing more value through Everyday Rewards with new campaigns to drive member sales and a high single-digit increase in value returned to customers through points earned. Our retail execution has continued to strengthen, with solid improvements in productivity delivered in the half. As of today, exit gates have been added to over half of our store network, supporting improved stock loss rates relative to H2 F '25. We also remain focused on managing costs through the delivery of our productivity agenda and our commitment to becoming a lower-cost retailer. Moving to the next slide in New Zealand Food and BIG W. On our second strategic priority and is to improve the returns in New Zealand Food and BIG W. Both businesses reported solid growth during the half, supported by their transformation agendas but this momentum needs to be sustained to return to double-digit returns over the medium term. In New Zealand, we completed the rebranding of the New Zealand floor network to Woolworths and rolled out a new store team operating structure to improve the team and customer experience. We have continued to improve our own brand range to differentiate our offer and launched over 280 new products across a number of key categories, which are resonating well with our customers. In H2, we're focused on building customer momentum in a challenging and highly competitive market while continuing to progress our transformation over the medium term. We know that we can further differentiate our offer for our customers through our focus on fresh, range, convenience and everyday value. In BIG W, a more favorable sales mix supported by better execution of seasonal ranges and availability in Clothing led to margin improvements in the half through a higher mix of full price sales. New and improved ranges have supported own brand growth of 8% in H1, which gives us confidence we're taking the right steps to reposition our range to provide better quality and more affordable options. The rollout of RFID technology will also deliver improvements in stock loan and availability. BIG W Markets expanded range continues to resonate with customers, with sales more than doubling compared to the prior year. As BIG W's gross transaction value, including the BIG W Market, increased by 5.8%. We are confident the performance of BIG W can continue to improve, but we will also ensure that BIG W has the appropriate foundation to be successful. Work has begun to separate the business from the group systems, which will enable BIG W to operate on a platform appropriate for a discount department store as well as providing the group with strategic optionality. Moving to Slide 13. Moving to our final strategic priority, which is to grow our complementary businesses and services. These include PFD and Petstock as well as group-wide service businesses such as Cartology, Everyday and Primary Connect. Collectively, these businesses contributed around 1/3 of the group's EBIT growth in the half, with PFD, Petstock and Rewards & Services, making the strongest contribution. In H1, we saw strong sales of double-digit underlying EBIT growth in Petstock and PFD. Petstock completed a value reset during the half investing in key products to improve customer value perception as well as launching a new pet cash loyalty program to complement its Everyday Rewards membership. While PFD growth remain strong, a highlight was the retention of key customer contracts in the QSR channel to support continued growth. We also secured 3 new sites and commenced construction of a new facility in WA to expand our national network. Rewards & Services sales increased by 8.6%, with mobile and insurance combined customers up 6% on the prior year. Cartology also continued to drive margin accretive growth for the group. PC+ delivered double-digit earnings in the half through higher customer volumes and better utilization of warehouse facilities. Turning to Slide 14. To deliver our strategy, we know we need to get the basics right by providing the retail excellence our customers expect from us. We also need to be a simpler business and increase accountability. Last year, we made significant management changes with a more consolidated and focused leadership structure. We now have key leadership in place and embedded a new Australian food leadership team, including in key commercial roles. We are committed to retail excellence and making every dollar count. We have delivered our $400 million run rate cost savings target by December. This has helped us to deliver a reduction in CODB as a percentage of sales in the half as well as fund investment in customer value. Key areas of savings included support office roles, goods for not resale and marketing and IT spend. This has helped us reset our cost culture as we restore and always on low cost discipline across the group. However, we recognize that for productivity improvements to be sustainable, they need to be driven by improving our processes and reducing work for our teams. And our leading AI foundations are already helping us do this, which I'll talk about more on the next slide. On Slide 15, over the past decade, we've established strong foundations to leverage AI through significant investments in digital and data capabilities. We have integrated capability into every part of our business and are now focused on unlocking the next phase of AI to deliver better experiences to customers, team members and to transform our operations and internal processes. This slide shows some of the areas where AI is already making a difference. We're delivering market-leading customer experiences through customer chatbots, which has helped us to automate over 60% of customer service contacts freeing up our team to focus on more complex customer inquiries. Our personalization engine is already delivering millions of tailored offers to our customers every week and I've spoken a not our extended partnership with Google to transform Olive, our digital shopping assistant. In our operations, we've leveraged AI to optimize eCommerce fulfillment for over 0.5 million weekly orders including shortening pick paths for our team members and optimizing last mile delivery routing. We rolled out Gemini for Workspace to our support of the team almost 2 years ago, and the adoption has been incredible. Today, 2 in 3 of our support office team members are using AI tools multiple times a day to unlock greater efficiencies. But what excites me most is how AI is helping our store team. Tools like Quick Assist are already being used by over 6,000 store team members every week, helping them to prioritize the most critical actions for their upcoming Fortnight, delivering a better experience for our teams and our customers. And finally, moving to progress against our sustainability initiatives. Last year, we celebrated a decade of partnership with OzHarvest and we've reached an incredible milestone during the half, providing 100 million meals to Australians in need over the last 10 years. In December, we achieved 100% renewable electricity across our operations in support of our net zero goals. We are also on track to achieve our Scope 1 and 2 emissions reduction targets by 2030. Finally, restoring soft plastic recycling services to our stores has continued with a market-leading 600-plus stores across the network, now offering this service again for our customers. I will now hand over to Steve who will cover our financial results in more detail. Thank you.
Stephen Harrison: Thanks, Amanda, and good morning, everyone. I'll start today on Slide 19 with the half 1 '26 results summary for the group. As a reminder, these results are for the 27 weeks ended the fourth of January 2026. The Group sales for half 1 increased 3.4% to $37.1 billion with all trading segments reporting growth. Group's eCommerce sales increased by 14.6% with Australian Food, New Zealand Food, BIG W and Petstock eCommerce sales, all growing in the double digits compared to the prior year. Group EBIT before significant items was $1.7 billion, up 14.4% with the group's EBIT margin increasing by 43 basis points. EBIT margin for all trading segments were up on the prior year. There are some one-off impacts that impact the comparability versus last year, primarily the impact of industrial action in the prior year, which we estimate had a $240 million impact on sales and approximately a $95 million impact on EBIT in half 1 F '25 in Australian Food and supply chain transition costs. Normalizing for both these impacts, group EBIT growth would have been 7.9%, which includes the benefits from our strong cost and productivity focus in the half. Group NPAT attributable to equity holders the parent entity before significant items was $859 million, which was up 16.4%. This reflects higher EBIT, a modest increase in net interest costs in the half, somewhat offset by higher income tax. Group basic EPS before significant items was $0.704 per share, also up 16.4%. Including significant items, NPAT attributable to equity holders of the parent entity declined by 49.4% to $374 million, with EPS also down 49.4%. Turning to Slide 20 and our group trading performance. In Australian Food, total sales for half 1 were $27.6 billion, an increase of 3.6%. Excluding the impact of the industrial action in the prior year, Australian food sales growth in the half would have been 2.6%. In Woolworths Food Group Retail, which incorporates stores and eCommerce, Sales momentum improved in Q2 with growth of 3.2%, excluding industrial action compared to 2.1% in Q1. This was driven by an improved customer offer and strong execution, particularly over the key Christmas trading period, leading to improved in-store item growth and strong eCommerce growth. WooliesX sales increased 14.2%, driven by eCommerce growth of 15.3% and 8.6% growth from media words and services. Australian Food EBIT increased by 9.9% in the half. Excluding the estimated impact of industrial action of $95 million in the prior year and incremental supply chain commissioning and dual running costs. Normalized EBIT would have increased by 3.5% in the half. Gross margins rose 8 basis points to 28.6%, primarily reflecting the mix impact of an ongoing decline in Tobacco sales. Excluding Tobacco, the gross margin declined by 14 basis points on the prior year with growth in our higher-margin complementary businesses, offset by investments in lower shelf prices, while stock inflation not fully passed on and supply chain transition costs. CODB as a percentage of sales declined by 24 basis points with productivity initiatives and above-store cost savings helping to offset wage inflation and higher online mix. There was also a rate benefit due to the impact of industrial action in the prior year. While ex DAP and EBIT was up 78.8% in half 1 with eCommerce and media Rewards & Services delivering improved profit. The increase in eCommerce DAP of 93% reflected solid customer growth, double-digit sales growth, mix benefits from growth in higher-margin propositions, efficiency benefits and cycling both the industrial action and cold chain investments in the prior year. In Australian B2B, half 1 sales increased 4.9%, driven by strong PFD, PC+ and export meat sales. EBIT increased by 14.6% with double-digit growth from both PFD and PC+, the latter benefiting from increased volumes and better utilization of warehouses. New Zealand Food sales for half 1 increased 2.8% in New Zealand dollars, driven by eCommerce growth of 13.9%. Sales in Q2 were more subdued as market growth slowed. EBIT increased by 22.4% benefiting from a combination of higher sales, supply chain efficiencies and productivity and cost-saving issues, partially offset by store wages and D&A growth. Total W Living sales increased 2.7% in half 1 and EBIT was up 186%. BIG W sales increased 1.8% with BIG W GTV, including BIG W Market, up 5.8%. And BIG W EBITDA increased by 12%, driven by the higher mix of full price sales and strong cost control. EBIT increased by 122% with depreciation below the prior year following the F '25 impairment. Petstock sales increased 13.1% and EBIT increased by 49.6% supported by the inclusion of pet food and accessory businesses acquired in half 2 last year and network expansion. Underlying performance was solid with comparable sales growth of 5.8%, eCom sales growth of 24% and double-digit EBIT growth. The other segment includes group functions such as property, group overheads and Woolworths Group's investment in Quantium. The segment recorded a loss before interest and tax of $124 million, an increase of 16.3% on the prior year, largely driven by lower gains from property disposals and a rebuild of the short-term incentive provision. In the half, the group recorded significant items before tax of $698 million, largely related to a one-off cost associated with the remediation of award covered salary team members following the Federal Court decision on the 5th of September. This includes interest, superannuation and payroll tax and is within the previously disclosed range of $450 million to $750 million. Moving to Slide 21 and our key balance sheet metrics. Average inventory days of 31.2 were in line with the prior year. Australian and New Zealand Food and Australian BIG W were down on the prior year, offset by growth in Petstock and high average inventory holdings in BIG W, which pleasingly ended the half below last year. Average payables declined by 2.4 days to 41 days, reflecting lower Tobacco purchases in Australian Food, a reduction in BIG W purchases as we reduced stock levels over the half and payment timing impacts. ROFE, which is a 12-month rolling measure, was 15.2%, up on the prior year and F '25 largely reflecting group EBIT growth in the half. Australian food ROFE declined by 80 basis points, reflecting the decline in half 2 F '25 EBIT last year and a modest increase in funds employed due to the acquisition of The Kitchenary and our investment in supply chain automation. Moving to Slide 22 and our capital management framework. The group generated strong operating cash flows in the half, which were invested in sustaining our assets, funding our dividend and investing in growth and I'll provide some more color on the following pages. The group generated on Page 23, operating cash flow before interest and tax of $3.2 billion for half 1 F '26, an increase of 4.5%. This was driven by solid EBITDA growth before significant items of 8.5%, offset by a modest working capital outflow. The net working capital outflow was largely driven by payables timing in New Zealand Food with an additional payment run prior at the end of the half and reduction in nontrade purchases reflecting our above-store cost saving initiatives. Compared to the prior year, there was also an outflow related to the cash settlement of provisions for redundancies in team member remediation. Net interest increased by 2.7% with nonlease interest up 13.3%, driven by higher average debt, partially offset by lower floating interest rates. Tax paid declined by 35% due to lower F '25 tax paid in the first half of F '26 and lower tax installments in the current year. Cash used in investing activities of $1.2 billion primarily reflects the group's CapEx spend, which I'll talk to on the next slide. The prior year number was a lot lower as it included $383 million of proceeds from the sale of our final tranche of Endeavour Group shares. Group also paid $92 million for the purchase of equity interest in subsidiaries principally reflecting the acquisition of the remaining interest in MyDeal to facilitate its restructuring and closure. Dividends of $553 million declined by 53.5% with the prior year including a $0.40 per share special dividend, reflecting a return of capital to shareholders related to the sale of Endeavour Group shares. Finally, our cash realization ratio was 95%, modestly below our ambition of over 100% due to the working capital outflow and cash tax exceeding the income tax expense in the P&L. Moving to Slide 24. Operating CapEx for half 1 F '26 was $913 million, $88 million lower than the prior year. A reduction in sustaining capital reflected lower spending on store renewals due to initiatives to lower the cost per store in the half. This was partially offset by an increase in new store investment as reflected in the 13 net new stores opened in the half. Investment in digital and eCommerce, which includes our investment in automated CFCs. Gross CapEx increased by $97 million, reflecting higher property development spend, which can be lumpy. For the full year, we still expect operating CapEx to be approximately $2 billion, stable with spend over the last couple of years. Moving to Slide 25, and covering dividends and funding. The Board today approved a final dividend of $0.45 per share, an increase of 15.4% on the prior year, broadly in line with the increase in earnings. After payment of the interim dividend, our franking credit balance will be approximately $1.2 billion. Turning to our balance sheet settings. The net debt-to-EBITDA ratio was 2.7x, modestly lower than F '25 and are remaining well within our leverage threshold. We remain committed to solid investment-grade credit ratings and have significant headroom under our current ratings of BBB from S&P and Baa2 from Moody's. In half 1 F '26, the group completed $1.2 billion of debt financing with transactions focused on extending debt tenor and reducing refinancing risk for the group. And with that, I will now hand back to Amanda.
Amanda Bardwell: Thanks, Steve. On Slide 27. In summary, as we look ahead, our focus remains on continuing to provide value to our customers, rebuilding customer trust and maintaining sales momentum while making further progress on our strategic priorities. I'd like to thank and recognize our team for their incredible efforts and in particular, for helping us deliver a fantastic festive season for our customers during the half. We are determined to get back to the level of retail excellence and performance our customers and our shareholders expect of us. And I'm confident the steps we're taking will lead to an improved performance. I look forward to sharing further progress on our strategy at our upcoming Investor Day in May. I will now turn the call over to the operator for questions. [Operator Instructions]
Operator: [Operator Instructions] The first question today comes from Shaun Cousins from UBS.
Shaun Cousins: My question is around price trust. You noted in August that, that was the greatest priority for Woolworths. Just curious around how that's improved during the half. And maybe if you could discuss that with reference to some of the activity you've done on pricing, the more of the rolling EDLPs under lower shelf prices and then you've been quite active with more impulse at gondolas and off locations. And then what you've done with ranging. We've noticed you've introduced a sort of a black and white entry level private label offering sort of there as well. So just curious where price trust is at and how you've improved that in the first half, please?
Amanda Bardwell: Yes. Thank you. Thanks, Shaun. So certainly, let me just say that we totally understand and are extremely focused on this question of price trust. It's so fundamental to customers choosing Woolworths as a place to shop regularly, and we have put a lot of focus on that rightly so in the half. If I just start by talking about the action that we've taken. First and foremost, if you look at our performance when it relates to the value for money scores. If you look at that this time last year versus where we are now, they're up 8 points and have progressively improved across quarter-to-quarter. And so whilst I would say we still have more work to do there. We've certainly seen a progressive improvement. And there's things that we've adjusted during that period, as you know, like the introduction of lower shelf prices. Now that program is very much focused on recognizing that customers are looking for good value, that they also want reliable value each and every week that they're shopping. And what we've seen with that program is it's on the big products that really matter to families baskets. And we've seen that customers have really engaged with that lower shelf price program very strongly. And we're pleased to see unit growth is a good way of, of course, measuring that engagement, continue to increase, both across our own brand products, but also in the branded products that have participated. In own brand, for example, in lower shelf prices, it's sitting in that sort of mid- to high single-digit unit growth. But for branded products, it's actually in the lower double-digit numbers. And so strong participation there, and we see that, that has certainly matched an increase in customer perception on value. And then across the half, as you know, we did adjust our promotional programs as well to reflect that what we're seeing from customers is certainly a search for even more value. So an uptick from what we've seen in previous period prior to that. And so when we look at value in that regard, promotional participation has increased, customers adding more specials to their baskets and participating more in those programs. And one of the big shifts that we made there was, again, it relates to trust making sure that when customers visit our stores, those products are on the shelf. And as you had highlighted to us as many others had, we had an opportunity in that space. And so that's a mix of having the right promotions but also making sure it's available. So I think that's contributed to an improved perception. And then when we look at Everyday Rewards, we adjusted the program across the half there, just to give more members more value actually and recognize their loyalty, which has resulted in an even stickier member and some greater uplift that we've seen in member sales across that period. And so I don't think there's any one thing that we've done there. I would say there's a mix of value levers that we've been really focused on that each one of them play an important role. And together, that's created an improved momentum for us, both in terms of sales, but also in terms of items in baskets and transactions through Woolies. Now we've got more work to do. And the more work is particularly in the Everyday Needs category. And then of course, when we're looking at range. We have made some changes on range, but there's certainly more to come. Thanks, Shaun.
Operator: The next question comes from Adrian Lemme from Citi.
Adrian Lemme: Amanda and Steve, congrats on the result. I was interested in the turnaround in the GP momentum within Australian Food. So this half, up 8 basis points year-on-year while last year, we saw it down about 30 basis points. I know you've broken down the factors, but the Tobacco benefit was about 20 basis points benefit in both periods, and you also talked to Cartology and services income, but that also helped last year. So I was just interested if you could kind of talk to the actual delta, I assume stock loss was a positive factor this half, but were there also a better buying terms or other factors, please?
Amanda Bardwell: Yes. Thanks, Adrian. I'll give an overview, and then Steve will add to it. So yes, the 8-basis point improvement in GP, as you rightly say, the cigarettes decline does have that sort of mechanical adjustment that you need to apply as you've called out. We're really pleased when we look at the GP results, the contribution from the complementary businesses. So it's Cartology, Everyday Rewards, really contributing substantially to our performance in Australian Food from a profit perspective. So that certainly assisted in the half. And yes, it has been a very promotionally intense period and the team from a commercial perspective on balance managed that very well. When we look at how that plays through. There's some pressure in the red meat categories, which no doubt will come to later in the discussions that we've had to absorb there. So that includes the absorption of that. And then from a supply chain perspective, I didn't call it out in the opening comments, but supply chain delivered a really strong result for us in the half. Yes, we had obviously strong volume uplift but aside from that volume uplift the productivity that the supply chain team delivered is very strong. So that was helpful. And then on the stock loss numbers, yet again, pretty relatively flat on last year. So we had that increase in H2. And certainly, we've seen an improvement on those exit rates across the half. So that were the sort of big drivers. I'm just going to check with Steve, any other things you'd add to that, Steve?
Stephen Harrison: No, I think they're the main ones. On stock loss, actually, we were largely stable this year on last year in the half, but certainly an improvement on our second half performance of last year. But overall, it is an underlying reduction in GP reflecting the investments that we've made, but the team has worked hard to balance the levers within margin so that it isn't a bigger impact on earnings as it was the same last year.
Operator: The next question comes from Tom Kierath from Barrenjoey.
Thomas Kierath: A pretty strong cost result, which is great to see. I assume that's from the cost initiatives that you've announced kind of a year ago, just thinking about whether there's any extension of that and whether as you kind of, I guess, look more closely at the cost base, whether there might be another target or just how you're kind of thinking about the cost base more broadly going forward, please?
Amanda Bardwell: Yes. Thanks, Tom. As we called out, as you say, a year ago, we're really determined to build a low-cost culture across lease. And so that was why we came out last year, and we're really clear both internally and externally on the need to reduce our costs. We want to be a lower-cost retailer. That is what's helped us in the half, certainly deliver better value for customers, but also see an improved result for the business overall. So you should expect to see from us an always-on focus. We haven't called out anything particular in terms of a new program per se, but it is our strong focus going forward to continue to look for ways to reduce costs. What was pleasing in the half was we saw strong productivity as we usually do from our stores and from supply chain, but it was complemented with the improved cost performance out of our support areas, no doubt. And within our cost lines, of course, need to take into account, we've also seen a substantial increase in eCommerce, which just from a mix perspective, does put an extra pressure into the cost lines. But I'll just hand to Steve because he does like to talk about cost a lot. Any other add, Steve?
Stephen Harrison: I think going back to Tom's first point, it was a strong performance on cost in the half. If we look at the group costs grew by 2% across the group. And we've got a business that's growing volume, where we've got inflation that we need to cover. We've got mixed headwinds. The ongoing focus on frontline productivity is incredibly important, and we saw that delivered in each one of the businesses. But equally, we talked to the cost-saving initiative to try to take out $400 million of above store and support costs on a 12-month run rate basis. Actually, the team -- we announced that a year ago, and the team worked very hard on that actually at the back end of last fiscal and really front-loaded a lot of initiatives to the end of '25 and the first quarter of F '26. So we delivered roughly half of that $400 million in the half across the group. So clearly, a key contribution to being able to have cost growth below sales growth, actually, in each one of the trading businesses across the group. So a good result, but it needs to be always on, and that's really where we're shifting our focus.
Operator: The next question comes from Michael Simotas from Jefferies.
Michael Simotas: I've got a related question to the one on costs and particularly around in-store labor. I mean your execution has improved. A lot of the feedback in the industry is that you put labor into the stores, it's not obvious when we look at the P&L, the labor investment because your branch expense growth was much lower than your admin expense growth, and I would have thought the cost out program was reducing admin expense to fund the in-store. So can you give us a little bit of color around your store labor as well as how those costs are moving through the P&L, please?
Amanda Bardwell: Yes. Thanks, Michael. I'll kick off and then I'll hand to Steve. If I just start with store labor as the starting point there. Yes, we did invest more in store labor, but we were also very targeted in terms of where would it make the most difference. And so when we looked at improving availability, for example, there were targeted adjustments that we made in terms of time of day across particular days of the week. And so it wasn't across our entire network. And then just looking at -- and then we also invested in Fresh in particular. And we continue to assess that across both the quarter and, of course, into this year as well as to what is making the most difference in terms of customer experience. Ultimately, that's how we're measuring the performance. And so yes, we did invest, but we invested in a way that was quite targeted and then continue to monitor that as we move through. I'll hand to Steve and then Annette, if there's anything you want to build on.
Stephen Harrison: I think, Michael, just part of your question on the change in admin expenses. That does include the significant item expense in the half. And so that's why you see that cost growing. If you actually strip that back on an underlying basis, admin expenses went backwards, which is consistent with what we would have expected given the focus on that area of our cost base.
Operator: The next question comes from David Errington from Bank of America.
David Errington: It really is a good morning so I'm really happy to give that greeting. Amanda, what really pleases me with this result is it's been a fantastic result with cost savings, you've really driven productivity, which is fantastic. But what really stands out for me is that you've nailed the execution. Slide 6 and Slide 5 of the slides, please, if we could refer to. Slide 6 is just phenomenally positive. And it seems to me, and where my question is, I remember talking to you at the end of August. And one thing that concerned me is that you were very slow to respond to changes in the marketplace. You were very slow, whether it be picking up trends or you're on -- you picked up the trends, but you're too slow to execute. You seem to have been able to turn that around, whether the data is better. Look, I was really encouraged to see that you seem to be on top of what the customers really want. So whether your data input is better, but you seem to be responding better and quicker into the stores, can you spell out what you've done there? Is it the supply chain benefits that you've done that's coming through? Because it's just a wonderful achievement to get such an improvement in the voice of the customer when you've driven productivity and following Michael's point, when you've driven labor harder, when you've driven your costs and your efficiencies yet to still get such a great pickup in your voice of customer, it's just a great result. Can you go into how you've been able to achieve that? Because last August, I was a bit concern because you were talking about how you were too slow to respond. So it just seems to a phenomenal turnaround. Can you go into those details, please? That would be really appreciated.
Amanda Bardwell: Yes. Thank you. And thanks, David. As you know, we're always focused on what we can do better as well. But if we just go back to that period. I'd start by saying that we made very significant people and leadership changes at multiple levels across Australian Food during that period and just prior to that trading period. And so the level of disruption, which was a combination of the work that we were doing to reduce our costs, but also our focus on how do we consolidate and simplify the structures within the group and then appoint the right leaders into those critical roles, whether that's the leadership roles across Australian Food, where we have Annette leading Woolworths Retail and Amitabh leading eCommerce or the commercial roles that sit across each one of our key categories and areas. At multiple levels, we made changes and there's no doubt that there was a high level of disruption and distraction. And I in no way want to make any excuses for that. But I do think that, that was the biggest determining factor around our performance during that period. And so what I've been very pleased to see is how the team now once they enroll, focused and they're focused on delivering across multiple horizons. And so yes, we put a lot of focus, as you say, on addressing what is it that customers are needing and wanting from us right now, how do we improve transaction growth and item growth, items in particular. And so there's very much that focus on trading the business today. But also on building the future and getting clearer around how we want to evolve the proposition of our supermarkets and our retail propositions in eCommerce going forward, whilst also being really clear with the team that we do need to be a lower-cost retailer and that we should be proud about that, and we should be focused on it because it enables us to deliver better value to customers and build a better business together. And so it was a disruptive period. We've got a highly focused team right now. We're very pleased to see improving momentum. We still think there's more for us to do in terms of work across our categories and our offers. But we're focused on building now on the momentum that we have.
David Errington: You're doing very well. So well done, as I said, that you seem to be using data a lot better than what you were. So really pleasing to see them with AI coming in. Yes, it's promising. Thank you.
Amanda Bardwell: Thanks, David.
Operator: The next question comes from Bryan Raymond from JPMorgan.
Bryan Raymond: One just to follow on actually from David's question just around -- and you mentioned Amanda, some personnel changes there. I just want to focus in on Australian Food, Annette appointed Peter McNamara to lead the long-life part of the business from a buying perspective at the start of the financial year. That preceded from what we've heard from the supply base, a strategic pivot towards impulse categories in store, particularly on promotion in gondola ends, et cetera, at the start of the second quarter. I'd just be interested as to how much that's impacted your sales results that you're seeing better uplift maybe in some of those impulse areas where you've been a bit underweight in the past from a store positioning perspective? And now that's really come back to the floor from what we've heard. I'd just be interested as to how much that's important and whether that's got a bit further to run going forward?
Amanda Bardwell: Yes. Thanks, Bryan. Look, what I would say is that we focus on what is it that will make the most difference to customers. And how is it that we drive item growth. We knew that we had customers still shopping in our stores. And so I just want to come back and say this, yes, we've seen a substantial improvement in our grocery performance and across, as you say, some of those impulse categories. That's, I would say, primarily driven by a more disciplined execution. We've also seen strong fresh growth, which we're very pleased to see because it's a key part of our strategy overall. And then we have a team that's very focused on one customer plan. And so we talked about a lot of the structural changes that we've made and leadership changes. That's also been about bringing together a much more disciplined approach to the way that we go to market with our one customer plan across commercial customer loyalty operations and into the supply chain. And so we're just seeing now the start of the team getting into the right rhythm and flow, which really matters in retail, as you know. We have run sharper promotions, no doubt. I'm just looking at Annette, and I know you've been deeply involved in activating a lot of these. Do you want to add some color there?
Annette Karantoni: Yes. Thanks, Amanda. I think that's right. We've done a lot really focusing back on listening to the customer, listening to our store teams and really building that momentum through great offers, great lower shelf prices and a very strong focus on planning right from planning right through to execution. What that's helped really shape is some of the things we just talked about, which is good availability in stores, particularly on some of the categories that you just mentioned in categories like impulse through promotional activities, where customers may not have thought they were going in to buy something but saw something on the shelf that they were interested in, but it was broader than impulse. I mean we have seen great growth in our drinks categories. The team has been doing a fantastic job, particularly through some of the hot weather that we've had through the half, but also through pantry essentials, through our meat business. So it really has been a really strong focus on retail discipline end-to-end that has really driven those opportunities. I would say, and I think, Amanda, you've called it, there is still a lot more to do. And so we're seeing some slightly better results in some of our Everyday Needs categories. But that is, of course, another area of focus. And so I would say we have a lot of work to do to make sure we're getting consistent delivery across the business. So more to see in the next half.
Operator: The next question comes from Nicole Penny from Rimor Equity Research.
Nicole Penny: In light of the previous comments regarding the cost of doing business reductions in the Australian Food business, could you perhaps comment on the time frame over which any potential benefits of consolidating the New South Wales operations at Moorebank will provide further benefits, please? And just another one, Australian B2B showed some encouraging operating leverage there. How much capacity has this business got to continue to grow earnings ahead of revenue, please?
Amanda Bardwell: Great. Thanks, Nicole. Yes, we've been very focused on the work to transform our New South Wales supply chain. And I'll just hand to Steve to talk through the implications of that as that flows through.
Stephen Harrison: Yes. Thanks, Nicole. So we have really been spending most of the last 12 months ramping up the NDC. And so we're now doing around 2 million cartons a week. We're not fully transitioned all the volume in there, but actually, we're starting to see results in line with what we'd expect out of the national distribution center. We are very much still in ramp-up mode in the RDC. So nice to be able to take many of you through that facility pre-Christmas. I think we are at 60-odd stores pre-Christmas, I think we have about 120 stores now last couple of weeks, we've been doing about 1 million cartons bearing in mind, we anticipate at maturity getting that to 2.5 million to 2.8 million cartons. So there's still quite a bit of ramp-up to go. So I think when we've talked about this in the past, we still do expect commissioning and dual running costs to continue from -- through F '26 at similar levels to F '25 and equally into F '27 as we start to go live with the Sydney chilled and fresh RDC, which will go live in actually F '28. And so -- we do, though, expect some of those commissioning and dual running costs to start to be offset by benefits. They will progressively ramp up over the next couple of years. So -- and really be at maturity. I think we talked about this in December when we had many of you at Moorebank around '28, '29 when they start to reach maturity. So we are -- but we are encouraged by what we're seeing, but we do recognize that are going to take some time to flow through the P&L. And then on B2B, I'm happy to take that question actually because within there, the 2 main businesses are PFD and PC+. Actually, both had strong results in the half. It is just worth being clear that the PFD results does include an extra week in the current year that's not in the comparative as we've just lined PFD's reporting periods up with the rest of group, but we have disclosed in the notes the adjustment that, that would have made to earnings in the half, if you just normalize it. And in fact, both delivered strong double-digit earnings growth in the half. we would consider there being a lot more runway in both those businesses to continue to grow earnings above sales through the medium term.
Operator: The next question comes from Craig Woolford from MST Marquee.
Craig Woolford: Amanda, great to see the momentum improving across the group. Can I just ask a question about that sales momentum, particularly on the food segment. I guess there's 2 parts to it. One is, is there any guidance you can give on what the strike impacts may have been in the first 7 weeks from a year ago? Is that still having an effect on reported results. But more fundamentally, I'm interested in what you see going forward on price and volume. The price inflation is dropping away a little bit, which is good news for consumers, but might make it harder to maintain sales momentum?
Amanda Bardwell: Yes, yes, yes. Thanks, Craig. Just when we look at those first 7 weeks, it is important to know, as you point out, that we were recovering from the industrial action last year. And when we certainly look at the 7 weeks, we didn't last year call out a specific number. And we didn't do that for 2 reasons. One is supply chain was back up and running, and we were in flow in terms of delivering to our stores and to customers. And then we also didn't want to create, to be frank, just excuses for ourselves. We're very focused on just building the momentum as we move forward. So we don't have a number to specifically call out, but it is important to note that, that is a fact. And particularly, if we look at to give you a sense, Victoria. Victoria for us, was and continue to be very softer and lagged the rest of the states across really the last 12 months. And certainly, as we've come into now the first 7 weeks, you can see that Victoria is performing particularly strongly. So there's no doubt there's some cycling benefit there. When it comes to your second part of the question around just this price and volumes, we've been and we've been really clear that for us, it's about driving unit volume, and that's what we're focused on doing. You'll see from the average selling prices that we've shared that, yes, there has been a moderation in that. But I'll just hand to Annette to talk a little bit more because there's some color as we just look at the different categories within that, Annette, that might be just worth talking through.
Annette Karantoni: Yes. Thanks, Amanda. Just from a general perspective, yes, the number of price increases coming through from suppliers have slowed since the peak in July and August. There's still a course coming through, but they have a different shape and a different ask and it is category specific. So yes, we're still seeing some come through in some of the food categories. But as you alluded to earlier, Amanda, that some significant shifts in the livestock, particularly in red meat. And of course, weather impacted in fruit and veg, so it's a little bit difficult to kind of pinpoint but we are still seeing some inflation in certain categories within food and veg, like capsicums and strawberries that are all very weather-dependent. So yes, it's slow, it definitely slowed from Q1 into Q2. And so I think it will be a strong watch out for us as we get into this half.
Operator: The next question comes from Ben Gilbert from Jarden.
Ben Gilbert: Just wanted to sort of dig into the 7 weeks and then a little bit more on how you think about the rest of the year, notwithstanding sort of the guidance. But it feels like you've just traded the business a lot harder and you have a lot more locations and impulse, et cetera, which is great. It seems like it's really resonating. I suppose 2 parts to the question, one is how profitable is that growth? If you have to dip into your own pockets. Your run rate obviously would suggest you can print an EBIT number higher than what you sort of tightened that range up to? And then the second part is, I'm just interested in how you're going to capitalize to try and drive a broader halo of that across the rest of the business, and particularly into those Everyday Needs categories and interested in the anecdotal comment you made that you are seeing some improvement in that as well?
Amanda Bardwell: Yes. Thank you. I think we've demonstrated in the half that through a really strong commercial discipline that we've been able to deliver a solid GP result in the half. And certainly, as we move forward, we would see it being broadly consistent as we move into the second half now, in terms of that question, I just want to come back and say it hasn't -- this result has been driven by a series of factors. Yes, we've been more competitive than we said we would be. But it's also being driven by improved availability, genuinely better experiences in our stores and our customers are telling us that with the ratings and the feedback that they're providing to us. And so certainly, we've been more competitive. But this result is not primarily driven just by that. And we see it as being something that is sustainable on the go forward. And that's because it's a balance of levers that we've been using. Our lower shelf price program is absolutely delivering value back to customers in a way that is good for customers, consistency, reliability, but also good for us in terms of our supply chain and the efficiencies and the way in which we manage that, the promotional program, we have been more competitive and have certainly had more market-leading offers over the last 6 months, but we've managed that within the right commercial frameworks through both ourselves and our suppliers working with us. And then when we think about the role Everyday Rewards plays, we just broadened that out to have a lot more above the line or visible opportunities for customers to earn value, and that's something that is sticky. And that's not about a short-term sales or sugar hit. That's about building long-term growth with our customers and rewarding their loyalty. And we've really been very thoughtful about how it is that we manage all of that so that we can deliver more value for customers. We can manage our responsibilities around profitability of the business and the sustainability of it going forward. When we look at your question around Everyday Needs, again, Fresh was very strong for us. Grocery was strong and Everyday Needs, we saw a gradual improvement. And I'll throw it to Annette to talk more about this, but particularly in those key categories of baby and Pet, where we needed to see improvements. We took a series of actions there. We've still got more work to do in the personal care category, I would say, the one that we haven't seen as much traction. But Annette, do you want to just add a little bit of color of what are we seeing on Everyday Needs and what some of the actions that we've taken there?
Annette Karantoni: Yes, I think you've called out the key categories, Amanda. In Pet, again, it's very much looking at multiple horizons. So in the near term, just holding that competitiveness in an incredibly and growingly competitive market unit price is very important, bulk packs are very important. So you saw some changes in the way that we approached some of those items within the Pet category. We also introduced a new range in Pet food in the dog category, 95 new products came in to the range with a real focus on the balance between branded products. Again, the bulk items where we thought it was required, and of course, some really good own brand products leveraging the relationship and the partnership we have with Petstock. So Billie's Bowl, Baxter, some great things came in, in the Pet category. So you'll start to see some shifts as that rolls through. It's actually rolling through right now. So Pets starting to see some -- they're minor. We've got a lot of work to do in the category, but we're starting to see some very small shifts. In baby, again, multiple horizons, working short term on making sure we've got the right value offers for our customers. We've done some work to reset quality of our own brand, Little One's products, they will start to come through, the wipes have come through now, but the nappies will start to come through over the course of the next couple of months. And earlier in the half, we introduced Millie Moon, which was a fabulous own brand product that now has a high single-digit share of that category. So again, you're seeing shifts within the baby category. Beauty, again, very different to the previous 2. It's all about being on trend. We launched some very good products during the half. BOOIE got a lot of attention, the video that launched BOOIE had 20 million views, which is extraordinary and just shows the nature of how customers are interacting with innovation and new categories, 50% of the customers that came in to buy BOOIE were new to the category. So we're seeing new customers come in, and there were a lot of new brands that launched through that beauty category in the half. So we're seeing very different in these 3 categories, in Everyday Needs. Different plans, but on multiple horizons. Amanda, if you don't mind, I would also say just back to the start of the question, we're also seeing a lot of growth in the way our customers are eating and what they're serving at home. So at-home consumption has been a very strong trend that we've seen continue to grow. So yes, impulse has been very important for the quarter, but so has some of the biggest moves in things like coffee. And so we've seen growth in coffee from, in particular, Cafe brands like Campos and grinders coming into that category, and we're seeing some really strong, very positive double-digit growth. So yes, it's in some of those impulse categories, but it's actually right across, whether it's protein, yogurts, it's actually -- it's going -- it's more broad than just the impulse category for sure.
Amanda Bardwell: Yes, great. And then just to come back to the top of your question, Ben, when we look at the guidance that we've provided and that move to an upper single digit profit growth, important just to look at that in the context of everything that we've shared today in terms of customers are looking for more value, it is a very, very competitive market. And so we're very mindful as we look forward, that we expect customers to continue to seek value, competition to continue to increase. And so we've provided the update that we have with that context as well.
Operator: The next question comes from Caleb Wheatley from Macquarie.
Caleb Wheatley: Congratulations on the results. I just wanted to come back to this price trust discussion, particularly revisiting some of the prior comments you've made on sort of price perception issues rather than actual pricing problem. Are you able to just talk through sort of the quantum of reinvestment that's gone into price to manage that price perception issue? And then sort of looking forward, how much more work, if any, do you think sort of needs to go into focusing or resolving that price perception issue, please?
Amanda Bardwell: Yes. Thanks. And price trust, price perception has been important as we've talked about one of the ways in which we measure that is to look at our voice of customer and the value for money scores that we are receiving. And importantly, we know that customers look at that at an individual item level and are making decisions around where they shop at an item level, but also at a total basket level. And so that's also informed our decisions around how do we make sure that customers are realizing the maximum value. Again, we've used multiple levers across our promotions, our lower shelf price and everyday rewards to make sure that we create the right value for customers we know they're looking for it. But price trust is something that builds over time. And so we certainly know that we've still got work to do to improve trust in Woolworths and trust in our prices, and that will remain a focus for the next 12 months ahead. Importantly for us, this is why we committed to the lower shelf price program because that's about reliability. Customers want to be able to count on us. And so that's been an important element of the offer that we have in place, alongside reaching customers across probably a broader mix of media than we have in the prior 12 months as well. So we have adjusted the way in which we talk to our customers and reach them as well across the period, which is important when everyone is looking for value. So I would just -- there's no number that I would particularly call out. We're always investing in price, not just in lower shelf prices, but in specials as well. We'll continue to do that, and we expect to continue the need to focus on building price trust over the next 12 and 18 months.
Operator: The next question comes from Richard Barwick from CLSA.
Richard Barwick: Amanda, I wanted to talk about BIG W. That was a strong -- much stronger result than I think many were expecting. And you've talked about -- it's on track to be EBIT and cash flow positive. Not surprisingly, you're talking about the profitability being weighted to the first half. I think everyone would expect that. What does that mean, though, in terms of profitability for the second half? Are you flagging that you can actually turn a profit from BIG W in the second half? Or should we be expecting another loss?
Amanda Bardwell: Yes. Thanks, Richard. Look, we're not giving out specific numbers -- the profit number for BIG W, but we were wanting to reinforce and just help everyone understand, as you know, it is heavily weighted due to Christmas and seasonal sales in that first half but that we are remaining committed to the commitment we gave in August around being EBIT and cash flow positive. Dan, is there anything you wanted to add in that context? We're not going to be talking about the specific numbers in terms of profit, but any other context?
Daniel Hake: The only other context I would give is that the health of our sales have been much stronger in the first half, especially in categories like Clothing and Home where we flowed seasonal stock a lot better. We got in and out of inventory a lot better and those processes are maturing. And so we do expect half 2 and half 2, the improvement of the health of sales and the improvement of the shape to continue. In absence of a specific EBIT number, we do expect improvements year-on-year.
Richard Barwick: So improvement second half and second half, that's helpful.
Daniel Hake: Yes. We're comfortable with that.
Operator: The next question comes from Phil Kimber from E&P Capital.
Phillip Kimber: Amanda, just a question on -- there was a specific comment you made in the actual announcement that said heightened competitive intensity in food eCommerce. I was just wondering if you could provide a bit more color around that. Is that being led by sales being more aggressive? Or is something else going on there?
Amanda Bardwell: Yes. Thanks, Phil. Yes, that was really a reference to the fact that as we know Coles launched the Ocado partnership some time ago and have been very focused in the market in eCommerce, driving a lot of activity in that space. And then as we look at the on-demand space, in particular, with different platforms, whether that's Uber or DoorDash or our own. And customers are now really focused on that on-demand to our opportunity. Certainly, we're seeing competition increase, in particular around customer acquisition. So just looking at Amitabh, can you just build in terms of some of the intense competition we are seeing, particularly in Sydney and Melbourne?
Amitabh Mall: Both to add to what you said, Amanda, one is from traditional competitors, where with Coles, with our stepped-up performance and their focus with their carton boxes is actually -- they have definitely sped up in terms of competitive intensity. But I think what's more interesting in the more recent times is the growth with what I would say are formidable, global retailers, whether it is Costco already with strong presence in Australia and for the first time, offering their products online, or whether it is with Amazon having entered the fray as well. So that is -- we're clearly seeing, a lot more competitive action in the eCommerce space and we are obviously quite determined to stay competitive and to make sure that we deliver -- we are the first choice for our customers.
Operator: The next question comes from Peter Marks from Goldman Sachs.
Peter Marks: My question is just on Australian Food business, interested in hearing about the launch of the customer offset -- sorry, offer reset program that you've launched. And I guess the details around that, what's involved? Is it a range review program? And I guess what you're looking to achieve with that and the timing of any benefit we should expect?
Amanda Bardwell: Yes. Thank you. Thanks, Peter. So the customer offer reset is something we're running across the group. So that includes Australian Food, our New Zealand food business and BIG W and particularly relates to the relationship that we have with our major suppliers that connect with us across those 3 businesses and across the 2 countries. We really wanted to first and foremost simplify the connection with Woolworths, and that's important for us and important for our supply partners and also engage in the right strategic conversations around how we reset those categories for the future so that we grow together. And so it is a new way of us engaging with our supply partners, but it is very much -- and hence the name, customer offer reset. It is very focused on what is it that customers are looking for across individual categories. and how do we work with those larger suppliers across our 3 businesses to unlock the full potential of those categories with customers in mind. And so it's a program that will progressively roll out across the next 12 and 18 months. We've started with a series of 4 key categories that are underway now. And as we've shared with our supply partners, we want to partner together with them on this. And so we will take the learnings from those first 4 categories as we then roll that out across the rest of our categories. And so it does align broadly with range reviews so that we can give everyone the appropriate time, but it's a new way of us working.
Peter Marks: So the new way is, I guess, you're buying across the 3 different businesses now. Is that the right way to think about it?
Amanda Bardwell: I would say that we're looking collectively together with our supply partners on the opportunities that exist in each one of the categories. Each one of those businesses has a slightly different customer base, slightly different need, but we're bringing together a shared conversation with our supply partners as to how we do business and how that plays out in each one of those businesses and categories will look and feel a little bit different. And we'll learn more across this year.
Operator: The next question is a follow-up from Michael Simotas from Jefferies.
Michael Simotas: One on eCommerce profitability. Your margin effectively were close to double year-on-year. And I know the first half of last year was pretty tough for the business. But the way we calculate it, it's about 3.5%, which looks like a very good outcome given that competitive dynamic and customer acquisition costs that you talked to. Can that business continue to scale and deliver leverage from here? Or do the costs become more variable?
Amanda Bardwell: Yes. It was a strong performance from the eCommerce business in the half. And importantly, as we know, our eCommerce business is primarily fulfilled from stores. And so it's a really important part of our offer overall. The short answer is, yes, we do think we can continue to improve the profitability and performance of eCommerce. And there are a number of things that drove that in the half. And I'll just hand to Amitabh to add a little bit more in terms of the key drivers of that eCommerce results.
Amitabh Mall: Thank you, Amanda. So the 3 things that we think have really made a difference in our profitability performance in the half. First is the proposition mix itself, where we've consistently invested in our direct-to-put capacity that has driven growth in our collections. Collections have grown at more than 20% compared to the rest of the business having grown at 15% in eCommerce. And the second is continued growth on demand, which is also margin accretive as a proposition for us. So both the propositions which are margin accretive have grown faster based on the investments that we've made both over the years as well as more recently. Second driver is the fractionalization of the fixed cost itself, which we have reached a scale in the business where with continued growth in the business, we continue to fractionalize our fixed costs, and we expect to see that benefit coming through. And finally, operational discipline in terms of just the productivity pipeline that we've had driving both our picking costs and Amanda referenced in different conversation some of the AI tools that are in place or to drive better picking -- to optimize our picking as well as in the last mile delivery cost. So all 3 have driven, and we expect all 3 to be sustained going forward as well.
Stephen Harrison: Just one build, Michael, I think, in that growth in the half, there are some cycling benefits both the industrial action, but we did make a material investment in cold chain integrity last year, which we've now structurally found ways to reduce that cost and retain that integrity. So the profit growth moving forward, I wouldn't necessarily be baking in that type of expansion each half.
Operator: The next question is a follow-up from Adrian Lemme from Citi.
Adrian Lemme: I had a question actually on New Zealand. I understand the implemented changes in the store operating model partway through the half that significantly reduce the number of managers. Just wanted to know, is this a key driver of the lower CB margin. But then I guess, more importantly, can you talk about how the new model compares to Australia? And if it's not already on that kind of model, could Australia sort of follow down the line, please?
Amanda Bardwell: Yes. Thanks, Adrian. So we did implement in quarter 2. We've been testing this in New Zealand for quite some time, a new operating model. which moved from really having that department focus to more of a functional focus in terms of the way that the operating model itself works. And during the period, it was really about implementing quite a substantial change and if anything, to be perfectly frank, it probably impacted a little bit of our performance in quarter 2. Just as we made such a large scale change across the entire New Zealand business. We think it's a great model, certainly for the future, but we want to see that continue to improve performance across New Zealand first. And so when you're looking at the implications of that from a cost perspective, certainly, we hadn't yet seen any substantial benefit from that flow through in the first half. And right now, as we ramp up that operating model, we've also got more focus. And so it will take some time for the benefits of that to materialize. I'll hand to Sally in a moment to see if there's anything else you wanted to add to that. On your question of Australia, look, right now, what we're focused on is let's see how this performs in New Zealand for us. As I say, we've been testing it for some time anyway. But when you release things out at scale, you always learn more and so we'll be focused on learning from our New Zealand business first and then determining whether or not that's the right model for us in Australia. Sally, any other reflections in terms of operating model?
Sally Copland: Thank you, Amanda. Yes, absolutely. I think the model is predicated on us being able to deliver a better customer experience and actually building stronger momentum in retail and careers for the team. It was a very significant change in the New Zealand context. So 2,500 new team members, that's 13% of our frontline workforce who are new to our business, and so supporting them to onboard and be part of our team has been a very big focus. And we actually have 300 team members who are in new leadership roles for the very first time. And that's about helping really build a strong pipeline for us all the way through to store managers and beyond. So we are in the throes of embedding this model and really focused on how do we get back to basics, make sure we've got the fundamentals of our routines right and that we're in a stronger position going forward.
Operator: The next question comes from Craig Woolford from MST Marquee.
Craig Woolford: This might be for Steve. Just is that -- in the full year results, just about the outlook for FY '26, there was specific items called out around the Tobacco headwind. It was supposed to be $80 million to $100 million across the year, the workforce system, $60 million and then the lower shelf price of $100 million. Can you just clarify how those factors impacted the first half results?
Stephen Harrison: Yes. So from a Tobacco perspective we called out $80 million to $100 million estimate. We think that's still the right estimate for the full year, but it's slightly weighted to the first half. So there's a disproportionate component in the first half. In terms of the technology investment, so there's multiple systems that were end-of-life systems that we're replacing, not just the time and attendance. We called out a $60 million estimate roughly 50-50 across the 2 halves. And LSP, we haven't specifically called out the number, but we said it would be a minimum investment of $100 million in our own brands. But obviously, we been able to get a scale that program and to get a lot more suppliers on board. So -- but broadly, if you think about we launched it in May last year, you expect roughly, it would split 50-50, maybe slightly less given the cycling impact in the second half.
Operator: The next question is a follow-up from Bryan Raymond from JPMorgan.
Bryan Raymond: Earlier, I think, Amanda, you might have mentioned some strategic optionality with BIG W. I'd just like to elaborate on that a little bit, if we can. Profitability has improved, would a potential exit or sale of this business beyond possible or one that you'd consider? Or did you mean something else by that strategic optionality comment?
Amanda Bardwell: Yes. Thanks, Bryan. Firstly, I just want to acknowledge that it is very good to see an improved performance from BIG W and the transformation plan that the team has put in place that they've been very focused on delivering is showing some good improved performance. And so we're very pleased as is the BIG W team to see that. When we're talking about BIG W, we want to make sure that, that business and that team is super focused on their transformation. They've done a great job, and there's more to do there. We talk about the IT separation primarily because giving BIG W the independence to be able to build the right platforms that are fit for purpose is really important for a discount department store. BIG W has been deeply integrated across the Woolworths technology systems and as a result, has drawn on a lot of the food technology. We want to make sure that as the business moves forward, particularly when we look at areas like eCommerce, which is driving a lot of positive growth for BIG W that they've got the right tools and the right technologies to be able to drive that forward. So there's nothing that we would further update with regards to BIG W other than what we've already shared. Thank you.
Operator: Thank you. That does conclude the question-and-answer session for today as well as today's call. Thank you for participating. You may now disconnect.